Operator: Greetings. Welcome to PowerFleet's Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, David Wilson, Chief Financial Officer. You may begin.
David Wilson: Thank you, operator, and welcome, everyone, to our extended year-end 2025 earnings call. I'll begin with a brief review of our safe harbor statement before handing things over to our CEO, Steve Towe, to kick off today's discussion. Our remarks today contain forward-looking statements. Our actual results may differ from those contemplated by those forward-looking statements. Factors that may cause our actual results, performance or achievements to be materially different from those expressed or implied by such forward-looking statements are described in today's earnings release and accompanying slides. Any forward-looking statements that we make on this call are made as of only today, and we assume no obligation nor do we intend to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will present both GAAP and certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's press release and slide deck. The press release and the accompanying slides we will share on today's call are available on the Investors section of our website at ir.powerfleet.com. I'll now turn the call over to Steve. Steve?
Steve Towe: Thank you, David, and good morning, everyone. I appreciate you joining us for today's full year and Q4 2025 earnings call. I'm here with key members of the leadership team, and we're excited to walk you through what has been, without question, a transformative year for the business. Over the past 12 months, we've taken bold decisive steps, integrating 2 major acquisitions, streamlining our global operating model and laying down the foundation for durable, profitable growth. But what's most exciting is the momentum and investor proof points we're now building, not just in the numbers but in independent recognition of our solution capabilities, the highly expanding customer landscape and the caliber of talent we brought together across the organization. This is fundamentally a very different company than it was just a year ago. And today, you'll see exactly how far we've come. It's important for investors to remain cognizant of the speed and the depth of the extensive high-quality business change program the business has successfully executed in context of evaluating PowerFleet as a strong value accretion opportunity. To help with that, and we'll begin today's presentation with a short review of the last 12 months transformation story. I'll hand over to Melissa Ingram, our Chief Corporate Development Officer. Melissa?
Melissa Ingram: Thank you, Steve. Over the past 12 months, PowerFleet has undergone an extraordinary transformation. The company you see today is nearly unrecognizable compared to the 3 legacy businesses from which it emerged. This next slide captures just how comprehensive this reinvention has been. We now have the revenue scale, subscriber base, customer reach, product portfolio and a fortified balance sheet to cement a market-leading position in our sector. We're operating across 6 continents with a go-to-market model that includes both direct and indirect channels. Some of the key highlights are a company of more than $400 million of annualized revenue with over 75% of ongoing SaaS revenue, scaling from 700,000 subscribers to 2.8 million, a dramatic move in adjusted EBITDA from $7 million to $71 million and significant growth in the number of customers and our ability to drive increased wallet share from that extended customer base. PowerFleet is now a scaled modern SaaS company. We're unifying our operating systems, sharpening our execution model and are delivering measurable value across AI video, our unique data highway and in warehouse solutions. Our transformation has turned complexity and weakness in 3 individual businesses into the strength of one combined top-tier provider, and we're now positioned to scale with speed and profitability. Moving on to the next slide. We recognize early skepticism from the investor community, concerns that 3 moderately performing companies might combine into one larger underperforming entity, but this narrative does not reflect reality. Instead, we have strategically extracted the strengths of each business, eliminated legacy inefficiencies and added a disruptive, differentiated solution strategy to an expanded customer base. This gives us the ability to perform as a high-growth focused enterprise. Our M&A strategy wasn't opportunistic. It was deliberate and disciplined, designed to allow rapid forward movement after a targeted cleanup period. Our global scale in premium geographies now enables us to tackle customer pain points more strategically, positioning PowerFleet as a mission-critical partner across markets and channels. Moving on to the next slide. Thanks to 6 months of preplanning, our integration execution was immediate and decisive. In the first half of FY '25, our focus was on structure and rapid mobilization, and we executed with intensity. The closure of the MiX deal gave us global scale and engineering depth. Integration for us is about building a better company. So we hit the ground running with a clear and deliberate execution plan. In half 1, we launched a top-down synergy program, identifying and fast tracking the highest ROI savings initiatives. We unified our product road map under Unity, sunsetting legacy overlaps and aligning teams to one platform vision. The business centralized key functions to drive scalability and consistency, and we rationalized underperforming spend across tools, systems and facilities. The team began to rebuild our customer success function from the ground up, aligning teams around life cycle value and platform expansion. Another key priority was to enhance a high-caliber leadership team with performance metrics aligned to our post- combination priorities. This was a highly coordinated execution effort, which laid the groundwork for an even more aggressive posture in half 2. Next slide, please. Half 2 was about acceleration. With the close of the Fleet Complete acquisition, we shifted gears, moving from organizational blocking and tackling to creating scale and momentum. Here's what we delivered. We hit our full synergy target ahead of schedule, showing that we could integrate while still growing. We quadrupled our Unity-focused engineering headcount to over 400 FTE, giving us the muscle to scale innovation across AI video in warehouse and data ingestion. We built and activated a modern sales enablement function, giving reps the tools, training and the data to close more faster. The business transitioned from siloed regional teams to a unified commercial engine structured around value drivers, not geography. The team also simplified our product architecture, reducing go-to-market friction and enabling multi-solution modularity. Performance rigor was embedded across the organization from daily sales stand-up calls, weekly pipeline reviews to monthly operating cadences. This phase of the year demonstrated our ability to transform, while building to stay aggressive without losing financial discipline. A key fundamental of the transformation is now coming to life, as we enter FY '26 aggressively implementing new operating systems. We now have the quantum and quality of people and the group strategy is being implemented across the whole business, and that gives us full confidence in what comes next. Next slide, please. One of the most important proof points from FY '25 is that we didn't just promise synergy, we delivered it. We committed to $16 million in adjusted EBITDA synergies, and I'm pleased to report we executed every dollar of that on time and in full, while simultaneously driving growth vectors and building out innovation. This synergy achievement came from 4 strategic levers. Firstly, organization efficiency. We streamlined redundant functions across legacy businesses, flattened reporting structures and built centralized centers of excellence. This was a surgical approach, focusing on role clarity, performance and scalability. Secondly, systems and process consolidation. We're rationalizing dozens of overlapping systems from ERP to HRIS to customer support tools and moving towards a harmonized operating backbone. This allows us to scale without adding overhead. Thirdly, procurement and vendor spend optimization. With greater volume came greater negotiating power. We consolidated vendor relationships, exited duplicative contracts and implemented cost governance across engineering and operations. And finally, commercial simplification. We restructured go-to-market motions to align around SaaS, eliminating product overlap and focusing reps on higher velocity, higher-margin opportunities. Most importantly, we delivered these results, while maintaining organic growth, investing in customer experience and laying the foundation for FY '26 cost leverage. This wasn't integration at the expense of performance, it was integration fueling performance. I'll now hand back to Steve to take us through some of the business highlights from the year.
Steve Towe: Thanks, Melissa. Before we dive into the numbers, let's take a moment to step back and look at the big picture because FY '25 was not just a year of integration, it was a breakout year for PowerFleet. Simultaneously, we bought MiX and Fleet Complete under one roof. We hit our organic growth targets. We dramatically expanded EBITDA and executed one of the fastest and effective platform consolidations ever in the space. On top of that, customer engagement has undeniably surged, a clear sign that our strategy is resonating where it matters most. This was a truly foundational year and what we've built now positions us for durable, efficient and scalable growth into FY '26 and beyond. Let's move to the next slide. One of the core pillars of our strategy is revenue expansion through cross-sell and upsell. And FY '25 gave us some of the clearest signals yet, it's working at scale. This slide spotlights just a few of our standout enterprise expansion wins, each one strategically significant from contracts with multiple Fortune 500 sectors like energy, mining and construction to large multinational and global services organizations and each one, a powerful proof point of the traction our Unity platform is generating across key verticals. These aren't just headline wins, they're part of a repeatable, durable land-and-expand motion. In many cases, we entered through a single solution and quickly earned the right to grow into multiple Unity pillars, spanning AI video in warehouse operations and compliance data layers. What we're seeing now is a flywheel in motion. Customers are leaning in because Unity solves real everyday challenges, improving safety, enhancing visibility and boosting operational efficiency, all in one integrated platform. We're embedding ourselves deeper into customer workflows, driving long-term value and securing recurring revenue streams at scale over time. Put simply, these larger multiproduct expansions signal something bigger. PowerFleet is becoming a mission-critical partner to the enterprises we serve. Next slide. While customer expansion was a major story in FY '25, what's just as powerful and maybe even more telling is our newfound ability to consistently land new high-quality logos, and we are now beginning to do that at scale. As you can see on this slide, we signed contracts with over 600 new midsized and large customers this year, cutting across a wide range of industries, geographies and deal profiles. We have many of the world's top companies choosing PowerFleet as their long-term partner of choice from Fortune 500 manufacturing and food and beverage leaders to multimillion-dollar TCV deals with national transport and leasing companies. That level of diversification speaks volumes about the breadth of our product market fit and the growing reputation of PowerFleet as a serious player in enterprise and mid-market segments. We're now being invited into more competitive RFPs. Our presence in key verticals is expanding and most importantly, our win rates are climbing. More and more customers view PowerFleet, not as a challenger brand, but as a credible Tier 1 solution provider. Our strategy is earning trust at the enterprise level and opening the door for long-term platform-wide relationships. Next slide. Our top- tier geographies, North America, Europe and Australasia, continue to deliver strong performance, but what really stands out is the consistency and breadth of that momentum across key segments. This presents systemic traction that reinforces the strength of our growth model. Let's take a look at some of the highlights. Cross- sell revenue was up 96% year-over-year, which tells us that our customers are leaning into the Unity platform as a result of the business combination. They're consolidating point solutions, expanding their footprint and seeing fast returns on investments, and we're capturing that momentum with precision. Our, in warehouse, solutions grew 71% in high-intensity verticals of automotive, food and beverage and heavy industrials. These are sectors that run on efficiency, risk mitigation and uptime, and Unity delivers all 3 with measurable ROI that accelerates buying decisions. And finally, our AI video deployments increased 52% within our largest indirect channel partner in the U.S. We're seeing increased demand for intelligent safety and compliance tools, not as stand-alone modules, but as core components of operational strategy. This is what we mean when we say the strategy is working across a variety of industries, customer tiers and multi-region go-to-market motions. The Unity suite is scaling with real purpose. Moving on to the next slide. We've also taken bold deliberate steps to sharpen our revenue mix. pruning nonstrategic contracts and sunsetting product lines that no longer align with our long-term vision. That's allowed us to reallocate resources to the highest value opportunities. Also, in our legacy MiX and Fleet Complete operations, there have been a clear underinvestment in customer success in recent times, and it showed in retention. We entered both acquisitions in the knowledge of churn erosion that would hit in FY '25 with a tail into early FY '26 in some complex legacy large accounts that have previously been underserved, accounting collectively for circa $10 million of ARR or 3% of their combined revenue estate. We are now building a proactive, high-impact customer success organization and the turnaround is already visible. We've delivered 3 consecutive quarters of improved retention, driven by faster onboarding, more predictive engagement and a clearer connection between platform usage and business outcomes. At the same time, our data hire integrations are driving higher customer stickiness, making it easier for clients to scale with us and harder to walk away. The key here is we are creating durable growth through deeper, smarter customer relationships, and we're doing it all with real discipline. Next slide. At the end of the day, product traction and revenue growth only matter if we're delivering real measurable customer value, and this slide shows exactly that. Our customers are transforming how they operate, and they're doing it fast. The feedback we're getting is unambiguous. Unity helps executives to sleep at night. It derisks daily operations, elevate safety standards, boost efficiency and unifies data into one intuitive integrated view, whether you're in compliance, safety, logistics or warehouse operations. These are hard dollar benefit outcomes delivered at scale, and the impact is strong enough that our customers are becoming strong advocates. Our sponsors are introducing us into other divisions, expanding from a single module to full platform adoption and becoming multiproduct, multisite customers within 12 months of initial deployment. This is the Unity flywheel in motion, as time to value, referenceable outcomes and growing customer lifetime value. Next slide. A true defining moment this year was our recognition as the #1 global leader in platform solutions and innovation by the most respected product research firm in our space. ABI Research ranked PowerFleet as #1 in innovation, ahead of other market leaders. This isn't a vanity ranking. ABI's evaluation is rigorous, measuring platform breadth, AI maturity, usability, scalability and ecosystem readiness. We weren't even on the radar 2 years ago, and now we lead the global marketplace in innovation. That's a testament to the Unity platform strategy to our execution on hardware-agnostic ingestion, AI-driven insight layers and our ability to solve multiple use cases across fleet, fixed sites such as warehouses and mobile operations. This ranking gives us added credibility in enterprise conversations. It builds confidence with channel partners, and it's a tangible differentiator as we compete for larger platform scale deals. In short, the market is recognizing the transformation and is putting PowerFleet firmly at the front of the pack. Next slide. Now let's close out FY '25 with a view of our Q4 performance. Next slide, please. Q4 was a disciplined on point close to the year to what has been a transformational year for PowerFleet. We delivered $104 million in total revenue, representing 40% year-over-year growth and generated $20 million in adjusted EBITDA, up an impressive 80% from the prior year. Our gross margins held steady at over 60% and recurring revenue made up 79% of the total, a clear sign of our shift to a subscription-first business model. This was achieved in a quarter marked by significant integration activity. In our opinion, this makes these results more compelling. They reflect the operating leverage we're beginning to unlock, as we scale effectively and efficiently with precision. You'll hear more financial details on the quarter from David shortly. But the key takeaway is this, our strategy is working. The pipeline growth, our recent large win announcements and improved customer sentiment all support it. And our continued margin trajectory and improving underlying cash performance will confirm it. Next slide. Now turning to Q4 business highlights. This is a quarter where we saw diverse, high-quality ARR wins spanning multiple industries and geographies. We're now building the muscle to consistently land multiple $100,000-plus ARR deals each quarter. It's more than encouraging. It's foundational to scaling our future performance. What's even more exciting is where the growth is coming from. We're seeing a clear shift in both pipeline and closed deals towards our highest value solution sets. In fact, over half of our new sales revenue signed in Q4 came from AI video and in-warehouse products, 2 of the most strategic high-impact components of the Unity platform. And our AI video pipeline grew 120% quarter-over- quarter, which is a powerful indicator of increasing market demand and successful deployments. This is exactly what we are driving towards larger deal sizes, stronger product mix and a sales motion that aligns directly with our platform value and margin goals. Moving on to the next slide. Building on the momentum from last quarter's strategic win with a global beverage leader, we're thrilled to share another high-impact enterprise expansion this quarter in the U.S. market. EverDriven has agreed a large-scale deployment of Unity safety solutions, a great relationship with a multimillion dollar contract value spanning operations across 34 states. This is a standout example of a customer not only scaling with us, but doing so with conviction and high levels of confidence. It also underscores the power of Unity to support mission-critical operations across large distributed fleets. We're really proud to support Mitch and the entire team at EverDriven, as they enter the next phase of their journey of improving safety and reducing risk for their community. With that, let's pivot to what lies ahead in FY '26. I'll now hand it over to our EVP of Sales, Craig Fisk, to walk you through the commercial outlook for FY '26. Craig?
Craig Fisk: Thanks, Steve. Hi, everybody. I'm excited to share with you our sales outlook for FY '26. This year is about activation. FY '25 was about integration and transformation, and we execute that at speed. FY '26 is now about unlocking the full value of what we've built. Next slide. Let's talk about what is happening in the market. We're seeing 3 urgent shifts. First, the cost of data fragmentation is exploding. Typically, enterprises run in the region of 4 or more legacy platforms, wasting time and limiting visibilities. Second, resilience can't wait. Macroeconomic disruptions are increasing. The thirst for highly intuitive, simplified, proactive and predictive data analytics are becoming mission-critical and legacy systems can't keep up. And third, safety is no longer optional. It is a board-level concern. Unity hits right at the heart of all 3 of these market drivers. Next slide, please. Q1 has shown a clear and compelling signal. Unity's momentum in the market is accelerating. Across all key categories, pipeline growth is strong. Our data highway pipeline has increased 50% quarter-over-quarter, driven by customers seeking to consolidate fragmented systems into a single data ingestion and orchestration layer. In warehouse, new logo pipeline grew 121% quarter-over-quarter, fueled by demand in automotive, F&B and logistics. Verticals are now prioritizing real-time visibility and safety. AI video, one of our fastest-growing modules, saw a 50% jump in pipeline, reflecting increased awareness and strong early results from recent deployments. Perhaps most notably, our cross-sell pipeline has doubled, signaling real traction in bundling Unity capabilities across existing accounts. We also added 38 new major enterprise opportunities to the Data Highway pipeline this quarter, a leading indicator that awareness is up, the value proposition is resonating and our go-to- market teams are executing. This is the early flywheel effect, and we've been building toward. Product differentiation is driving demand. Enablement is increasing velocity and the references from our Single Pane Of Glass data highway deployments are starting to pay dividends across the funnel. We expect this acceleration to continue throughout FY '26. Next slide. What's powering this pipeline acceleration is not just Unity's breadth, it's how well differentiated each solution area is within our target markets. Take our Single Pane Of Glass data highway. A Fortune 500 automotive leader selected Unity to consolidate compliance, driver performance and data over 6 disparate systems into a single system of record. That level of harmonization is something other point solutions can't deliver. Shifting to In-Warehouse, our work with TELUS as an example, who launched Unity in Q1, is opening up major indirect channel in Canada. AI video continues to be one of our biggest levers. We're seeing multi-thousand subscription opportunities from customers like EverDriven, who are rapidly scaling across 34 states. That deployment alone includes deep integration with compliance and behavioral-based alerts, driving both safety and efficiency improvements. What ties all these together is Unity's flexibility and end-to-end visibility. We're not selling isolated features. We're offering a modular, extensible platform that adapts to each customer's operations and expands easily once value is proven. That's why deal sizes are growing. Sales cycles are tightening and referenceability is rising. Next slide, please. Our indirect channel, especially through our telco partners, is now becoming a meaningful and scalable growth engine. I'll cover TELUS in more depth on the next slide. So let's start with AT&T, where we're in prelaunch phase for the enterprise segment. This is an enormous opportunity. AT&T serves a large base of commercial fleet customers, many of whom are underpenetrated or using fragmented solutions. We're also working closely with a third major North American telco, where early integration work and go-to-market planning are already underway. Once live, this will extend our reach even further into mid-market and public sector verticals. We're also delighted to have signed with a major European telco with go-to-market plans being ready for launch in Q4. What's exciting is how quickly these partners are ramping. The Unity platform is easy to demo, it's fast to deploy and solves real pain points for their customers. This is one of our highest leverage growth plays going into second half and beyond. Moving on to the next slide. This is what real partner activation looks like. TELUS launched on May 15, and their commercial teams are now fully engaged. The feedback has been phenomenal. They're excited about the value we're bringing in warehouse through safety, efficiency, asset optimization and their pipeline is already in the millions. We have a tremendous partnership and an outstanding growth opportunity with lots of runway that's executing on right now. Next slide. This slide captures the power of Unity. It's the only system of record covering agnostic data ingestion, end-to-end warehouse to over-the-road visibility and AI video insights harmonizing customer operations across the whole supply chain. The result of Unity's consolidation engine, customers are seeing a 30% plus reduction in vendor spend and wasted time and a 35% increase in value by integrating into their other operating systems as well as all of the safety, operational and compliance benefits from being able to use the full power of their data. That's huge. Unity is now a mission-critical strategic platform for our customers. Next slide. In Q1 alone so far, Unity Single Pane Of Glass gained serious traction. For example, we signed a Fortune 500 energy customer for 1,500 new subs. We also secured a top 3 U.S. freight broker with over 4,500 subs. This has been added to with 4,000 subs signed with a top multiservice mobility leader. With momentum growing, we have confidence around signing a global automotive leader for over 10,000 subs and a food and beverage distributor for over 14,000 subs, both expected in the first half. These are transformative rollouts using Unity to solve for holistic safety, visibility and system consolidation. The Single Pane Of Glass value prop is winning and the numbers is proving. Our sales teams are pumped up for this year, and we have superbly differentiated value props to take to the market. With that, I'll hand it over to David Wilson, PowerFleet's CFO, to walk you through the financial highlights. David?